Stanislas De Gramont: Good afternoon, and welcome to the 2023 full year results. I'm Stanislas De Gramont, the General Director of the group. I'm going to be handing over the next 45 minutes to share with you the net results for 2023 with Olivier Casanova, who is on my left and General Director, Deputy Director in-charge of Finance for the group. We will be speaking in French. We'll be answering your questions in French, but there's a simultaneous translation in the room. I think everybody speaks French in the room and on the webcast to accompany our listeners, who are online and who we greet. After the presentation, there will be a Q&A session, where you can ask questions directly from the floor or live using this tablet, which is supposed to be sending us the questions you have submitted for our attention. So 2023, I'm going to be covering, it's across the financials. Major key highlights of 2023, the acquisition of Sofilac, CSR, and we're going to talk about outlooks. 2023 was a very good year for the SEB group. We have a very profitable growth over the year. You've seen the results of sales, €8.606 billion in sales. We broke that barrier of €8 billion, we are up 5.3% like-for-like compared to '22. This translates or can be converted into operating net profit of €726 million in URFA compared to €620 million last year, we saw about 17% additional with an operating margin of 9.1%. That's 129 basis points better than last year. In net profit, this has translated into €386 million, up €70 million or 22% compared to '22. And the last factor relating to performance is net financial debt which stands at €1.769 billion, up €204 million compared to the end of '22, which generates a leverage of 1.8x EBITDA. And the Board of Directors that met yesterday is proposing to the general assembling on 23rd of May, a dividend of €2.62 per share, depending on premiums and so forth. I'm going to hand over now to Olivier Cassanova, who's going to go into the financial highlights over the year.
Olivier Casanova: Thank you, Stanislas. Hello, everyone. I'm going to start with comments on sales. As we've already heard, and commented on at the end of January. So I'm going to move over to that quite quickly. Here you have, as Stanislas just explained, you have sales that went past that €8 billion and slightly up like-for-like, but which, in fact, if you break it down, it was built, thanks to organic growth, which came back up by 5.3%, a negative currency effect of roughly the same amount as expected, and I'll get back to that effect in a moment. And the scope effect, which is a contribution of 1 part of the year of some acquisitions that were for La San Marco, Pacojet and FORGE ADOUR. So just a word about the significant currency effect in 2023, especially in the second half year compared to €220 million. And this was marked in the second half year, you could see right there, it was almost €300 million. It's almost 3x greater than the first half year. So there's an acceleration in that second half year. We can see that the main impact was a devaluation or the change in the renminbi compared to euro. So it's not a very marked. We're talking about a discrepancy of an average of 8%, but it's applied to a sales figure of €8 billion, so that makes a big amount. If we look at the 3 other currencies of emerging nations, we have Russia, Turkey and Egyptian pound, we can see that the sales figures in these variations that are applied is much lower than in China, but the changes in devaluation of these currencies is significant, which gives an important impact. If we look now at the organic growth, since Q2 2023. After 4 quarters of negative growth, we got back in the second half year, the second quarter to the like-for-like growth of 6.8%, and that dynamic continued throughout the rest of the year with Q4 at 8.5%. And if we look division wise, we're going to talk about professional. We had an excellent performance over the year in professional with a growth throughout the year of TCPC of 26.5% like-for-like. And almost €1 billion in sales. In consumer, we have €7.045 billion. And we can see that in 2023, we got back to positive growth like-for-like in consumer of 3.2% and this growth has accelerated, in fact, in that fourth quarter because we have a growth of 7.7% in the fourth quarter. Now I've got to go over the factors having to do with sales because we spoke about them already. Here, you see the growth in Q4 of 16.2% that's compared to '22. It was a bit more demanding. That's why this is slightly lower than the average for the year. But we benefited from a market which was still growing, as you know. And additionally, in very good commercial performance, thanks to successes with major clients, and thanks as well to robust business with independent clients. We also benefited from a certain number of product launches of new products and Stanislas will get back to that in his part. And lastly, we made progress in our strategic plan in 2023 with the acquisition of La San Marco, which is an iconic Italian brand of traditional coffee machines, which adds to our product offering after the acquisition of WMF mature on the one hand and Wilbur Curtis on the other. Now let's move on to a consumer with panorama, both your geographical, let's start with the EMEA. So 2 regions, with different dynamics. In Western Europe, progressively, we're back to growth, but it's flat over the year, but with an improvement in the second half year. We can see this notably in France. We got back to growth. In Germany, it was more difficult. The economic environment in Germany, as you know, was not very good, not very sustained, but we had good dynamic growth in Q4 with a good Black Friday. And in Western Europe, we have some markets that are -- have good dynamic growth. We've enjoyed good performance and good dynamics in Spain, Belgium and the Nordic countries. So a very contrasted situation, which is good by the end of the year. In Western, and Central and Eastern Europe, in these very excellent markets, we've had very strong growth, above 20%, both throughout the year and in the fourth quarter, this has been led by a good performance, a good commercial performance, both online and offline. And with market share gains in key categories, such as oil-free and laundry care. And also deployment of certain product successes in this region. Notably, OptiGrill, Cookeo, and Ingenio. And lastly, in one part of this region, were also led by our ability to get price increases across uncertain markets who had significant inflation. If we move on to the Americas. Here again, you can see there's an acceleration of growth in the second half year with plus 11% in H2. In the United States, we're back to organic growth in the second half year. The group is still #1 in the favorite in cookware, where we have a leadership position in the U.S. We're #1 with Tefal. We're also #1 in premium segments with All-Clad and #1 and ethic brands with Imusa and we have reinforced that #1 position in 2023. In Mexico now, we have a market which is even better, and it's growing double-digit organic growth. We have succeeded in gaining market share in all categories, notably in laundry and blenders and in fans, which was led by the El Nino effect and by the climate. If you go -- move on to South America, a very reinforced market position greater than 10% throughout the year. With the dynamics that we're varying in Colombia, the market was a bit more difficult, but the group is -- it comes out okay because they win more on market share. In Brazil, the damage were a bit more positive in the second half of the year, thanks notably to the strong demand for fans due to El Nino and thanks to launching new products such as oil-free fryers. To conclude geographical [indiscernible] a word about China, about Asia. We've outperformed in China. It's not doing as well as in the previous decade, but the market is more difficult. But in this market, we are suppose overperforming, a very positive growth throughout the year and that accelerated growth in the fourth quarter that achieve Q4 of plus 3.3% like-for-like. 3 reasons for that as we have the opportunity to underline. The first is the fact that SUPOR is less exposed to discretionary categories, notably due to the  fact of its market position, strong position in products that are symptomatic or emblematic of traditional Chinese cookware. We're talking about woks. The second is a dynamic of innovation, which is very strong. Stanislas will get back to that, in terms of rice cookers, which is obviously a big one. And thirdly, the group has a resilient product mix. We have a new innovation engine with excellent -- we have a lot of online sales, but we're also strongly developing social commerce, notably with TikTok and -- and the group has taken that the tangent very well, and we've won market share from competition in these new distribution channels. So the group is ultimately doing very well in a globally difficult market. About the rest of Asia, it's a bit different. But globally, I'd say the environment is unfavorable. This is marked notably in 2023 by reduction in inventory in our distributors, but we did note a positive aspect is that in the fourth quarter finished better than the rest of the year with some signs of improvement that we're aware there was a renewed sales growth. Now let's move on to the fourth quarter was very strong. There were 46% of -- over the year, which gave us a €726 million for full year, up 17% compared to '22. The group set the objective of doing at least 10% growth over the year, and we wind up plus [17]. The operating margin stands at 9.1%, which is getting back to the historical standards, growth up 130 bps compared to 200 bps in the previous year. Now if we look at how this compares to group standards, we took 2015 to '21. You have the median, which is the left hand in dark blue. You can see in the first quarter, we stood below -- clearly below the median for 2015 to 2021. But starting in the second quarter, we came back to comparable figures, and we're winding up at the end of the year at 13.6% in Q4 compared to an average of 12.6%. So how is this operating performance and that's above €726 million. It was comprised of what. We're going to be going over the usual bridge chart with the rougher bridge in 2023. Now we start with factors of sales figures that impact of URFA. The first we got back to a positive dynamic in volume terms. This is true. In Professional, which really led things with a very strong sales, but it's good news as well in consumer, where we also back to growth. This is also the case with a positive price mix effect which translates, first of all, to the continuing enrichment of the product risks and Stanislas will get back to some new product launches and events in '23, which fed into that positive price mix effect. And also the cost, as you know, we increased prices in '22, and we did that on a full year  basis in '23 and also the ability to get price rises across in countries that are subjected to significant levels of inflation. Now about costs, you can see a very significant cost effect in sales. We had a cumulative effect throughout the year. Both in reduction of -- decline in purchasing costs for raw materials, components and finished products and obviously, the significant decrease in the cost of shipping which gives a very important effect of €102 million positive. Now what about the growth drivers are slightly down, notably in terms of innovation, but there's also a big effect in currency. But other than that, there's a slight growth. And more important factors we're going to get into in the next slide, which are there. And serve to support the launching and development enrichment of our product offering. Commercial expenses and administrative lenses were up. That was expected in our budget. There was an inflation environment. And also, there was also a reflection of a more intensive activity in online sales and retail sales. And we also use a set of our own stores. Now looking and focusing on growth drivers. Here, you have the growth rates, which were clearly up especially in innovation in order to support new product launches and R&D. Advertising and marketing grew much more limited attraction that reflects a good budgetary discipline throughout the year. We will conclude by the impact of currency effects. There are 2 major effects. The first is the negative ForEx impact, as expected, reflecting a certain number of emerging countries and depreciation of some currencies in emerging countries, and we're able to get price rises across in these countries because they have high inflation. And we have a positive effect in terms of price, which counterbalances the negative effect that we see in the URFA. And the second effect is a favorable impact of hedging results. We do hedging in the short term in the renminbi and U.S. dollars. And here, we had a positive impact in '23, but we had a very positive effect in '22. And therefore, from 1 year to the next, that gave a negative offset of the result and that hedging activity. So here's the rest of the P&L. Stanislas has already mentioned this, it translates into a profit up 22%, reaching €386 million. So as regards to other expenses, particularly restructuring ones, for example, this was a rather weak year, which is below the group's historical standards. Second in terms of tax, our tax burden stands at 25%, which is more or less the group's regular tax rate. It's fair to say that last year, we benefited from the carryforward of deficits, which allowed us in Germany to reduce our tax burden. We cannot -- we could not benefit from this year. And we have a country mix effect, which is slightly adverse because the tax rate is different in China. So overall, the tax burden stands at 25%. And I think that in the coming years, we'll be hovering around 23%, 24% so which compares with a lower tax rate in the previous years. Right, now let's move on to the WCR. Let's look at the balance sheet, and the cash flow. As you can see, our WCR is down at 14.6%. It mainly reflects the decline, the continuous decline in inventories. We had already reduced them in 2022, and we continue this in 2023. The level of receivables is back to historical levels. So that means we have a positive impact in terms of cash flow, relative to a rather unusual situation last year. At the end of 2022, we slowed down the production of our factories. So it was receivables were payables rather were fairly low. So we now have a positive effect. So as you can see on this slide, we end up at 14.6%, which is slightly below the levels we had in 2018 and 2019. I think we already said that the usual level of WCR is between 15% and 17%, around 16%. So these were the levels of 2018 and 2019. And now we can see that with the seasonality of production, we are slightly below in 2023. Now on to the cash flow. We have an adjusted EBITDA, as you've seen, which is very close  to €1 billion I've already mentioned the changes in the operating WCR, CapEx is slightly below our depreciation. It's fair to say that 2023 is a transitional year. In 2022, we had substantial investments, particularly the announcement of this logistics hub of the construction of this hub in Écully. In 2023, we announced substantial investments, but so that will have an effect as from 2024 onwards. So particularly we had the investment in Til-Châtel it's a new logistics hub for cookware. And of course, the investment in Shaoxing into a new plant to support the development of our professional business in China, but Stanislas will address this later in the second part. So at the end of the day here, we have a lots of free cash flow, [€805 billion] for the  year. So thanks to this, of course, we can pay our shareholders. We can also further develop our strategy -- or further develop -- deliver on our strategy with the acquisition of new businesses in our portfolio package for food preparation, La San Marco, which I already mentioned, for traditional coffee machines and Forge Adour for Planchas. And despite these investments, we have managed to deleverage by €104 million. Let me now wrap up with the balance sheet. We have a very strong financial, very strong and healthy financial structure. It's very steady when you look at the available cash approximately €1.5 billion. Add to this undrawn IFRS 16 debt. So this gives us a lot of financial security. Second, I have just said a healthy financial structure because in 2023, we continued to operations that help us diversify our operations, particularly with the Schuldschein issue for €650 million, but also better staggering or spreads of our debt and an average debt maturity of [3.7] for debt above 1 year. And we have 87% in terms of fixed rate debt. So very, very strong financial structure. You can see and a net debt-to-EBITDA ratio, which is now below 2%. It stands at 1.8%. And if you look at things excluding IFRS impact and excluding acquisitions, we are even  stand at 1.4%. Now in conclusion as you know, the Boards will recommend to the general meeting, the approval of €2.62 dividend per shares is up 7% after no increase last year, so we are back to levels that were similar to those we had over the last 15 years, so much for financials. I'll leave it to you Stanislas.
Stanislas De Gramont: Thank you very much, Olivier. Now I'm going to take you on a journey into the main operational achievements in 2023. Let's start with consumers. I'll be dealing with consumer first and then with professional. So this is a slide that was presented on the 14th of December on our Capital Market Day, where we explained the value creation drivers of our group. So we start from a situation of a global leadership in consumer for small domestic appliances. And it's based on 6 pillars: first, strong brands, combined with a global presence with continuous innovation across all our product categories, combined with a very large product portfolio with more than 50 product families, go-to-market excellence and a very competitive industrial footprint. And all of this is fueled by a proved know-how in external growth. I was going to say 25 in the last 25, but actually over the last 50 years, also fueled by a pioneering role in terms of corporate, environmental and social responsibility. And we'll see later that this formula, this equation also applies to the business segment. All though we entered it quite recently. Now let me give you some examples of this in 2023, where how have we delivered on this formula, this equation. Let me start with something quite important to the group. Upright vacuum cleaners, something that we started in the group about 10 years ago. Where in the last years, where over the years, we have developed a wide ranges. We have a continuous innovation policy. All the products you can see here were launched between 2022 and 2023. We have a wide price ranges between less than €159, and more than €500. We also have leading positions. We are now the #1 company in Western Europe. We are #1 and #2 in 5 countries in Eastern Europe, and we have a 10% annual growth rate of our sales. So you can see here some in one of our most important categories, administration of what the group can deliver. Similarly, in Linen Care, and this is a very different starting point. Well, Linen Care is one of our strongholds. We are one of the global -- we've been a global leader, one of the global leaders in the last 50, 60, 70 years. And in Linen care, of course, this leadership means that we cover all market segments, not only traditional legacy or historical segments irons, et cetera, steam iron, et cetera, but also developing segments, for example, portable steamers or even the care for your models, for example, it's the second picture that you can see. And we also have the ability as a group to identify on each existing segment elements we can revamp, we can -- where we can renew our offer for example, new irons. Also the ability to identify new consumer needs and then how we can meet these needs in a relevant fashion, pure pulp Care For You, et cetera, or even the -- our innovation capability in eco-designed ranges, which are much more effective, environmentally efficient in terms of design, just like the last 2 irons and steam generators, steam generator irons. So it really shows the best we can do in the developed of these categories. So at the end of the day, we have a double-digit organic sales growth. And we have, again, a global leadership with a market share of 30%. So continuing this journey into our flagship categories in the group, cookware. Of course, it's some business segments where we have stainless steel pots and pans where we are a leader in many -- in many regions. And we continue to innovate with the renew range with ceramic coating, where we've really pushed the envelope in the last 5 to 7 years. We have some of the most effective products on the market, a lot of launches in Europe in the last 10 years with outstanding results, we are already the leading brand in this market segment in France and in the Netherlands, and we are continuing to develop these ranges in Europe and North America. Again, speaking of innovation and then geographic rollout. You are all familiar with Ingenio, pots and pans with removable handles, a very smart concept, you can stack your pots and pans, you could put them in the drawer, you can put them or store them in the fridge or in the oven. Well, Ingenio is a brand with 2 very strong countries France and Japan, but we're also developing these brands in other countries. So even in traditional categories, which you may think that there's no more room for growth. We actually managed to generate innovation and to develop our footprint in new countries. Now some of that might come as a surprise, but let's talk about kettles. Why on earth should we talk about kettles? Well, it's a business of about €300 million in sales, €300 million. That's not bad, isn't it? So in kettles, we are a leader. We have very strong positions in China. Also because we are -- we have a very strong position in Japan. Japan is a country that uses a lot of kettles. The use of consumption of kettle obviously, is closely correlated with tea consumption and we are #1 in France or #2, depending on markets. When you look at the drivers of this leadership, we are the leading producer, the leading world producer of kettles, so that's quite important here, a very first element. We have a critical size, but also these are segments, where we managed to innovate through design, through functionality. We're at different temperature ranges. You can -- with our equipment, you can heat 1, 2, 3 cups. And of course, we have a more futuristic innovation. For example, in the last 2 years in Japan and China, and it's coming to Europe. We have developed S-mark lid, when you knock over -- if you knock over the kettle, I'm not going to do it because my glass is for, but when you knock over you kettle at most 10 millimeters of hot steamy liquids will spill. So it's really safe for consumers. So we are a global leader, we have innovation, which that means a double-digit growth in 2023. This was only a lot about our oil-free cookers, deep fryers. In 2006, we launched Actifry, that was a category that developed more towards air fryers. We've added to that product range. And by covering end market very quickly in '23 to reach almost #1 in sales in Europe other than on Great Britain to have products that are available in more than 50 countries, including in China, where we are a major player in this product segment. And talking about China, let's talk about something else. Rice cookers in China. And is the #1 article sold, we sell more than 15 million per year of rice cookers. They eat rice 1 or 2 times a day. And when you look at the very healthy categories and stable categories, there's also room for innovation. This room for innovation because the structure of families is changing. We have increasing numbers of single-parent families. There are many more families with 1 person. So the question of sizes is different. And we're looking for a healthier cooking as well. Based on satisfying a certain number of -- certain types of cooking or certain types of rights. And we're using leading-edge technology where we use science in order to respond to these new needs. Obviously, we consume more than 100 tonnes of rice internally just to test the product. There are people who spend their time and that they are eating rice. But that's the only way you can have a good degree of perception we are looking for and what we're manufacturing. So what kinds of innovation does it results and we have rice cookers, of small capacity. You can also get infra-red cooking which gives a better regularity in cooking. And [indiscernible] ray which spreads out the heat throughout the container. So the consequences of all of that is that in all categories end consumer are on the rice and from smaller meals and that is the last category to suffer from the counter effect of overconsumption during COVID, which was moderate now. And there's a bubble over, the little bubbles, the acceleration of all of our categories in the fourth quarter compared to the average for the year is this whole dynamic recovery of the activity in the second half year of last year was accelerated in the third and fourth quarters in which was made concrete in almost all categories. And for people, who are saying it was the end of laundry. Well, no. It's very strongly up in the second half year last year. And we -- I'm sure you noticed. Let's move on to another aspect, outstanding commercial execution in malls. Perhaps 3 factors of note on this slide. The first is, one of the keys for success of the group is that we are multichannel. We do business with all possible distribution circuits. Now our consumers and the average middle -- the middle market, I use all of those online traditional pure players, Internet and brands and electrospecialists in major mass market and so forth. The second factor is that the share of sales online is strongly up more than -- it's more than 40% of our sales are online in China. We stood at 20% in 2019. Why is that? Well, the offer online is perceived as being more attractive by increasing numbers of consumers from 1 year to the next. It's not necessarily that in specialized stores or in markets that can also be, there can be specialists that have their own offers as well. The other thing that we wanted to draw your attention to is that we're often asked why in China, is support better than in the market. Well, these figures are an illustration of that. We respond often because the support has a unique capacity to getting those trends in distribution and activating distribution networks as a function of their needs. This supports we've got 300 influencers that to do more than 25,000 live streams every year. We also have 400 eStores online, 4 or 5 different platforms and the major platforms. TikTok has entered in the top 10 of online stores in the group, which didn't exist for 3 or 4 years ago. We have more than 2,000 weekly live streaming sessions. Where people are doing ads online, it's 24/7. It's not exactly 24/7 from 6 in the morning then 5 to 7 days a week. And we have 310,000 videos generated by us that generates 2.6 billion views. So the intensity of activity is extremely strong and very, very developed. We are working as well on our supply chain with continued investment. We are continuing 2 initiatives. We're talking about strategic insourcing. We're bringing back when a product is as mature and when this reaches a critical mass, we bring it back into our factories. We have examples in China and France of that, in Colombia. We are developing strategic production for electronic cards. That's kind of the name of the game for some products. We have a manufacturing unit in [Sala] who has increased capacity. They've gone from €5 million to €7 million. And the scope covered goes from small electronic cards and also now covers VMF and electronic coffee machines. We're optimizing our logistics by opening up these logistics platforms for small at Bully-les-Mine. And in the fourth quarter, we opened up a new logistics platform, the new logistics hub in Til-Châtel in the same geometric of [indiscernible]. One of the keys of success of as a group is our ability to identify new categories in consumer and to develop them. There are things that are more innovative than that and nomadic living. We have isothermic, which is sometimes sophisticated. The changing in materials and in performance. They are on-the-go, food storage, containers, you can see a coffee machine that is portable, which works on batteries. You've got food storage containers so that you can have several parts -- several salads in the same box. And given that we're interested in these promising outdoor sectors, we can see developing in the concept of outdoor living, various opportunities around -- that's really the reason behind we -- the fact that we acquired Forge Adour, which is now the European leader in premium Planchas in Europe. Often in these areas, you ask me, what new products are there this year? Well, I have a scoop. We are launching at the end of March, a pizza oven that works indoors and outdoors. It's a gas product, which it's an obsessional item. You can do a pizza in 3 or 4 minutes. We tested it a few days ago with you, guys. It is an extraordinary device, which will be sold in France in March, at the end of March. So the teams have been talking about it, but I'm the boss. So it's a pizza oven, which corresponds to that huge trend of developing products and outdoor living. After this little advertising, I'm going to hand over to Professional, which was extremely enriching. Same equation for value creation are key success factors, strong brands, global presence, continuous innovation and extensive product offering. And obviously, we're at the beginning of the story in some areas. We are building our product portfolio. So there's more acquisitions than there are in consumer. This is the current events that show that. We have the same demand, but the same ambition as well in terms of corporate social responsibility for an ambition to become a reference, a player of reference in professional for CSR. Now basically initially, we were working on professional coffee machines, and they have a  series of new products for the year. We have -- we developed various product ranges with 2 very interesting products. So one in the middle of WMF Expresso NEXT, which combines the gesture and the feeling of a barista with the regularity and predictability of an automatic machine. So that's a really successful machine. Or on the right, you've got the Curtis Skyline, which combines the taste of American filtered coffee with the performance and the capacity of an automatic machine for even broader coverage and more complete coverage for a lot of different customers. So we're going to get back to sourcing. Now this reinforced leadership in professional coffee is also built by adding to our technology offering in professional coffee, we have automatic machines with the purchasing of share. We added 2019 by buying Wilbur Curtis in the U.S. And by 2023, we're adding to this La San Marco purchase which produces traditional Italian coffee machines, which are superb, which is added to our technological offering in coffee machines for the professional market. Now leadership and professional coffee has a lot to do with the way we've constructed and our ambitions to have a broad geographical footprint. We are a multi-local leader, it means that we're leaders in many countries, including 12 major countries, including the 3 biggest ones, China, U.S.A. and Germany. It means that we have been able to diversify our geographical portfolio. It was less than 30% in Europe in 2016 and more than 50% is outside of Europe, 6 years later. We have more than 65,000 customers worldwide. Some of you were wondering about our dependency on big contracts or a small number of customers, we have 65,000 customers in the world. We're #1 in the full automatic technologies. With 30% market share in '23. And we've had resounding successes with key accounts, but also a very strong growth in our core business with independent consumers or our customers. With increased appeal of our product offering, we have the ability of offering new digital solutions in order to facilitate payment means to handle loyalty programs and to offer the possibility of pushing, offering personalized recipes and secured network access. You can imagine that when you're connecting to 15,000 machines by Internet with means of payment that can be tempting for hackers to get going in there to see what's going on and remote control and maintenance to improve the productivity of our customers. Today, we have more than 140,000 connected machines in '23. We had 30,000 in 2023. For 450,000 installed base. So that's 30% of sales is our services correspond to 30% of sales. We announced a few days ago the investment to support our strategic ambitions in coffee in China, Shaoxing. This is an R&D center. It's procurement and production hub as well which will be operational by 2025. This represents an investment of €60 million in Shaoxing, it was a city, we know well because that's where we located the biggest plants that we have, and that's SUPOR. There are 2 meanings to that investment, 2 reasons for that investment, it's #1 market for professional full auto machines. And the market is developing in China in various machines and various price ranges. And this investment will make it possible for us to access the low end, not necessarily the cheapest that we've never targeted the cheapest thing in consumer or in professional or in auto. We need to broaden the product offering, first of all, in China, but not only in China. So coffee, a history that we've developed over time where we've made progress. We're quite advanced in terms of maturation, where we still have a lot to deliver with, for example, San Marco with our geographic development, but also simply by driving up consumption. We also said that we had an appetite to develop the group in new categories in professional. So we can see, that's the way we actually see the professional market today. We have developed the market, which is approximately worth €15 billion. We have beverages. So beverages and professional coloring beverages, you have full-auto coffee, filter and traditional coffee and cold beverages, where we entered about 24 months ago. And in professional culinary, a number of categories, cookware, hotel equipment, everything for buffets, services, food preparation. So we'll come back to this and cooking. So in the last months, we've really worked flat out to increase our footprint and our coverage. At the end of last year, we announced the acquisition of Pacojet. It's probably, actually not probably, it's certainly the best professional emulsifier recognized by chefs, the world around it's a company with a very effective product, which is very profitable with a core business around -- sorry, around France, Germany and Switzerland. And we believe in Pacojet, we can see it has a lot of development potential by going above our historical borders. And another feather in our cap, I would say. And there's still -- well, it's the -- it's about the Sofilac group. It's a group which is mainly in professional it develops cooking equipment, professional and semiprofessional equipment with 2 main brands professional brands, Charvet and on [indiscernible ] and also Lacanche consumer brand, which is a household name. So a company with a unique know-how, which is really part of our industrial heritage, which has 4 production sites in France and which has an enabling plant in [Alas], [Lemaire Renan]. So we are absolutely delighted to welcome this company into the fold of SEB 350 employees. We believe that this company will be a complementary addition and a real accelerator for our ambitions in professional culinary. Now when you look at this jigsaw, well, in beverages, we have these 3 categories, these brands of 3 categories, WMF, Charvet in full automatic coffee Curtis and La San Marco in filter and traditional coffee and [Sumo] for cold beverages, juice extractors. And in professional culinary, we know that our consumer products are available in the professional segment, but we want to develop this with All-Clad, WMF, Tefal. All-Clad is a major partner of the [indiscernible] cooking contest. We want to step up the development of All-Clads in professional. We also have some hotel equipments with 2 premium brands, WMF, and an absolutely sublime brands, HEPP which is really for palaces and 5-star hotels, food preparation with Pacojet and cooking with Krampouz, Charvet and [Ambasad]. So this is all very, very exciting. And we are continuing actually accelerating this adventure into the professional segments. Now in my opening remarks, I say that social and environmental responsibility is a pillar of our group. We were a pioneer in this for many years. In 2018, we set ourselves ambitions for the period from 2018 to 2023. So 4 pillars, 4 themes, a significant carbon footprint reduction of the group's activities, increasingly circular solutions by making our products more repairable, being more exemplary in terms of social practices and products designed for a healthier and more sustainable living. The great new is that 5 years down the line, most of these objectives, where these were ambitious objectives, where most of them have been achieved, whether cutting our carbon footprint, whether using recyclable materials in our packaging and products also the proportion of female manager and reducing the interior accident rate. We had to find an ambitious road map. And today, we are delighted to say that we have delivered on this road map. And we are convinced that it's not going to stop here. We are working on our road map for 2030 to 2050. We are continuing and stepping up our investment to reduce our carbon footprint with a more energy efficient industrial system with specific plastic presses in France, but also in Latin America. Also, the use of biomass in our largest iron factory in [Pool Ebek] of course, when we start sites like Bully-les-Mines, we do this with best certifications and the best consumption standards to reduce energy losses. These efforts have been recognized by the organizations that follow us and audit us. So in 2023, [indiscernible] ranked us at the platinum level, which means that we are part of the top 1% of platinum companies. So businesses that are particularly well-rated in terms of environment and human rights. We are all very satisfied, but we know that it's still a very long journey. There's always something to be done in ESG, and we are actively working on this. And here, I would like to thank all of the group's staff and teams for their involvement. It's not something that you just do with PowerPoints and in the office, it is all thanks to the contribution of thousands of people across the group. Now I'd like to wrap up with our prospects, the outlook for 2024. Let me start with a reminder of the prospects that we shared with you in December during the Capital Market Days. We said a few weeks back that we expected a sales CAGR of at least 5% on a like-for-like basis. I said at the time, medium to long-term would be 3 to 5 years, we said that our operating margin was near 11%. We said that we wanted to continue to generate substantial cash flows in order to turn growth and profit into cash flow. For 2024, and that's at the bottom of the slide, we said that our operating margin will be closed, we'll be nearing 10%. And well, today, I'm not going to issue any guidance or tell you any -- or give you any information about sales. I'm smiling because it's the same story every year. It's been like this for 20 years. We don't issue guidance or issue any guidance sales at the start of the year because it's the start of the year and knew that 35% to 40% of our sales in place is generated at the end of the year. So it's a bit ambitious to try and try and predict what will happen for the year in February. So we really try to stay -- we want to stay the course, 10% in operating margin on a full year basis. Now in terms of sales, maybe just a few qualitative elements. First, when you look at the macroeconomic and geopolitical environment, it is still very uncertain, people still hesitate as to how we can describe, but it's not all rose in the garden. However, we are expecting a recovery in China. We believe that the consumer market will remain resilient. I'm not going to repeat what I've said already, but we are watching and we are convinced about the structural growth drivers of the markets are not linked with structural -- would actually linked with the consumer targets. And we believe that the professional market will further develop, thanks to changes in the customers' behaviors. Now as regards to our sales, we believe that there's going to be a return. An overall return to  growth in mature countries. We believe that recovery, there will be a recovery in China. Also, we see a good dynamic in emerging markets. I mean it's still a penalizing harm for an adverse currency environment. But we still see continued growth in Professional. Now if the question is what is the comparison with 2023, which was very good in professional realm. It doesn't mean that 2024 cannot be as good even better. Now we can. I'm done with this, with this presentation. We can take your questions. We've got a question there, sorry.
Q - Marie Fort: Marie Fort for Societe Generale. Could you give us a figure for your CapEx for 2024 following what you've just announced. Could you tell us about the acquisition you've announced that will happen in April. Could you tell us what's the expected profitability? Should we expect any impact on margins? Also, I wanted to address your strategy in business and in the professional business, also the idea of replicating consumer brands in the professional segments. How can your acquisitions help you innovate in the professional segment and also convert or replicate or adapt some of your consumer brands to the professional segments.
Unidentified Company Representative: I'll let you deal with the CapEx question, right. As we've said in terms of CapEx. We had €247 million. It was a bit low, which was €40 million under depreciation because 2023 was a transitional year. So we do believe that in 2024, we'll have similar depreciation levels actually might be slightly higher because as you've understood, we are planning some investments, which are quite structural an investment into Til-Châtel, the logistics for cookware in Western Europe and also the professional investments in Shaoxing. But Shaoxing is an investment that will last some time. So of course, we won't have all of the investments in 2024 already. Sofilac, it will be relative in terms of margin, 15%. It's the standards for the Professional market. So it will be accretive, accretive. Now as regards to brand synergies between the consumer and professional markets. I'm not sure it can apply to all brands, but there's a market that we could describe as semiprofessional in the next months and years. And it's really the performance and skills of professionals apply to premium brands and recognized as such by consumers. A very good example of Charvet does with [indiscernible]. These are hurts that's on our professional grade. But it's the same with the other brands that chefs really love to use. It's really up to the expectations in terms of cooking performance in terms of sustainability, durability, cleanability anything that a chef can expect. So of course, not all consumer brands can enter the professional segment. But we do believe that we have in our portfolio number of consumer brands that can really deliver what we would call super premium. But what we, I suppose, will call semiprofessional brands in the next year. That is a high-end product for the consumers. Does it answer your question?
Marie Fort: All right. Thank you.
Unidentified Analyst: [indiscernible] Kepler Cheuvreux. I have 4 questions, if I may. First, a lot of players in the consumer segment will have the organic growth decline because the price effect is going to wane. Could you maybe quantify the price mix effect for 2023 and maybe give us an idea of the potential of this impact for 2024. My second question, I do understand that so you don't have any visibility here on the volumes and sales, but could you maybe give us a modeling of commodity prices, freight, et cetera? And my third question is about China. It's the Chinese New Year, and it seems that Chinese consumers are looking for travel and leisure activities. So could you give us -- and maybe this could be at the expense of your products? Do you have the visibility on this? And the last as regards to the professional project in Shaoxing, will this plant only address the Chinese and Asian markets? Or will it help you compete in the European and American markets? And are you also considering developing the semiprofessional segment outside Europe, which is your main market.
Unidentified Company Representative: Okay. Well, actually, we'll start from the last question. Well, I'll share my opinion on this as well. The Shaoxing professional hub. What's really our stake here is to be able to cover the coffee machine segments in China, where we do not have any access. Now the Chinese market is developing. And we do believe that's the need for this product will also develop outside China. So today, are doing this mainly focusing on China and professional coffee. We're doing it this way because you've got to start somewhere. But we don't see this as a professional production in China and consumer in Europe. We are perfectly aware that anything that can be produced in China will have to be produced in China and the same for Europe. But I'm sure it will be the same 10 years down the line for professional. We see China as a development basis as a production site to meet local needs, but also when the market reaches a certain size going forward to meet a number of needs. So I suppose we'll -- we might exit China or coffee. But right now, we are working on professional coffee for China. About the Chinese New Year, there's not a big effect on end consumption in China, but statistics are interesting for a simple reason. That conventional events are getting closer and the relationship is diminishing. So the impact of this kind of event for 2 or 3 days on sales is less interesting with respect to the progress in the activity of consumer goods in China in the quarter and more about the Chinese New Year because it's kind of irrelevant. I'm going to let Olivier respond in detail about cost and perhaps to just pose the question. We've looked very closely up the P&L for a cost line item, and expenditures because the discrepancies were huge in '21 and '22, we had to explain the €150 million of cost per year of maritime freight. Now this is, we've gotten back to normal NPL with the growth in profitability and an increase in profit, which is on a virtuous cycle. And as a moderate volume, it was a continuing improvement in price and in mix. We have also -- we're investing in means of production and operating costs are contained. So I'll let Olivier answer. We've seen where the profits have been coming from, and it's been normalized. And there's a more amplitude effect than there has been in the last 3 or 4 years, and it's generating absolutely huge effects.
Olivier Casanova: I think you'd answer very well. It seems perfect to me. Maybe to just indicate 1 or 2 points insofar as the volume and price/mix are concerned. The volume effect in 2023, as you saw, we had a very strong growth in Professional. And that represents a significant portion of that volume effect. And we were more in recovering certain markets or recovering in certain consumer markets. But in 2024, as Stanislas has explained, we are expecting radical transformation about a recovery in certain markets, a gradual return to a year-long growth. And this should have a volume effect that may be more significant in consumer. So we always have -- we are still expecting growth in Professional, but maybe not 26% in 1 year to the next, but it will be positive in Professionals. So maybe rebalancing and then on a different basis. In terms of the price mix, the traditional dynamics in this industry is to enrich every year the product mix. And to have, on an ongoing basis, a positive effect of price and price mix. There's a price effect, obviously, with adaptation to inflation in some emerging countries, we'll always have that. But we always at the heart have this the core of the reactor is enriching products with products. There are many innovations in '23 in many segments. As Stanislas clearly outlined, all of that will provide profits and benefits in '24. In terms of cost, we have known a very significant impact in '23, which followed the degradation in cost hikes and the inflation in '23. This catch-up effect or correctional effect is kind of behind us. So there will be an effect -- like the tale of a comic kind of thing in '24, but the essential catch-up of costs pricing is, for example, in freight -- maritime freight and so forth, but there are others. Most of that was accomplished and met in '23. But there will be a positive effect in volume terms, part of those volumes are produced, I would say, in group plans, and that will contribute a positive effect in terms of volume on cost. So that's what we can say in terms of the underlying engine, I'll say what Stanislas did, we are accompanying the commercial development of the group, and thus translates into a few increases, but they'll be moderate in terms of it -- in the production engines as well.
Francis Prêtre: Francis Prêtre from CIC Market Solutions. First question, the emerging nations you said in '23 that they were kind of boosted in terms of their activity by some in El Niño. And that's kind of a one-shot thing. But starting from that, what are you expecting? What performance you're expecting? Is that going to be high? Could you talk to us a little bit about that, what the drivers are that would lead you. And in terms of activity in Europe, you can see is that France gain back some colors. In January, in terms of Agrifood, there's some contraction, which is not negligible. So how does that stand in other sectors? Could you also talk about Europe and in Germany as well that has known some difficulties and maybe do they have gain -- they gained some ground thanks to Black Friday. So what's going to be kicked off in that area, so we can understand the strategy and the induced costs that one could imagine. In line with that, you talked about the pipeline in terms of innovations that were high in '23 and the -- and so if I've understood you properly, the pipeline in '24 might be a bit less big than '23, which might make sense.
Unidentified Company Representative: No, oh good. Well, that's so much better. No, we don't want to do less well in '24 than in '23.
Francis Prêtre: So at this point, could you tell us why the pipeline in '24 would be as high as '23?
Unidentified Company Representative: Very well. I'm going to start with the last question. I think that the pipeline for innovation is continuous at SEB. And we've given you that in detail for '23. We were wondering a lot, what are we going to do in terms of innovation in '24. The activity is going to continue, we're going to keep that rhythm up and maybe accelerate because this is the way our industry works. And I think it's something that we need to integrate. Innovation at SEB is an engine that works on a continuing basis. It's a booster. There's a lot of ground work. It's a lot of mass efforts in various families. Concerning Europe, France and Germany, we can see the statistics, which are favorable in the industry, but industry has defined in France is, industry decide of the farm which is to enter professional organization. 2/3 of business from [G-farm] are ASM, both with their big devices or smaller, they are very different markets. On the one hand, you have objects that are between €400 and €3000, the other ones are €60. And the activity of small articles is positive in Europe and France. Because these are fundamental elements of consumers for consumers are accessible in terms of price that provide services on a daily basis and that are sold as is without and who are seeking more functions, more deligation, more practical, more quality in the results. And they find that in our products. So we're impacted, obviously, by changes in the market. But when you read the market, in this type of product in ASM is very different in terms of the dynamics of consumption. In terms of the -- our performance, we know that Germany was difficult for us in the first half year last year. We made -- we deny that. But is the business better or worse in the first half year this year, than it was last year? I think it's roughly similar. Germany is in a growth phase. But Germany, as a reference, we have consumers that appreciate our categories or of products they buy opticals and they buy vacuum cleaners and so forth. We see markets that are structurally sound in Europe, and we see in France and in Germany, even if the growth is not explosive, it is a positive growth. Now in France, there's things balanced back and forth over the year in the first semester. In the first half year, you have a loyalty effects. And in the second half year, that will -- so I'll respond to the question right away. Why is France negative in the first half year this year? Well, it's sales freezing and we'll -- usually, we'll get back what we launched in the first half year in the second year. So now in emerging nations, when you talked about El Niño to put forward, well, El Niño is a phenomenon that impacts sales, in Brazil and Colombia to keep it short. In emerging nations, Brazil and Colombia are a part of the whole thing, but there's Egypt, there's Turkey, there's Africa, there's Middle East. And all of these are not impacted at all by El Niño. So which leads us to say that we're going to succeed in maintaining interesting progression in sales in emerging nations, that price, actually the fact that it doesn't depend on El Niño. El Niño explains maybe 3 or 4 or 5 different points about Latin America, but not more. And the fundamentals in our businesses that are innovation of products and extending categories and expanding product ranges of intensification of our sales are there. Did that answer your question?
Francis Prêtre: Great. On the right here. France connect. Just 3 points. The first, I saw a figure of €80 million of share buyback, I didn't see the slide, I thought I heard it, I think. Maybe you could speak to us a bit more about where that stands in terms of strategy? Is it opportunistic? Or what was the reason? The second question is a product mix, which is kind of unusual. That you don't talk much about is a product mix between professional and consumer. I think it was an important factor for improving the margins in '23. That should be the case in '24 still. That's the question. And the last question is a stupid one. Don't you want to do refrigerators or you can do those washing machines? Because you're at your arms and ears in cooking. What about an oven?
Unidentified Company Representative: I think that behind this. We say that cooking is an area that we feel at ease. We have -- we've got grills. We have lots of things in cooking. We have pots and pans. We've got multi-cookers. And cooking is something that is really in our business. We have our business unit Electrical Cooking and a sub business unit and one is called Electrical Cooking. So cooking is our area, and we're in quite at ease with cooking. As to the rest, refrigerators and dishwashers and dishwashers, there are different scales and different industrial tools. So we're not interested in those. We're more interested because we don't know that, and it's a very heavy market. There's a lot of people there, not as much future in it. What about share buyback? We had an amount of €80 million. But this is roughly a 3 quarters, [7.25]. So that's the usual buyback for, to manage cash and the shares to be delivered to staff and management. And so far as Supor, we have an authorization for buyback which is because it's listed on the stock market, 1% authorization of capital. So that's what we bought back last year, which made it possible to participate in the capital SUPOR, through Supor, by Supor, 3 quarters. Okay. About your second question, the product mix. So we do have margins in professional that are structurally higher, an extra 15% compared with margins in consumer that are rather in the region of 10%. So the more we -- well, we develop professional either because it grows organically or because we add other things to our segment with acquisitions. So of course, it has an accretive effect. And as Stanislas has said, it's really the bedrock of our ambition in the medium term. We want to near 11%. We want to get closer to our historical standards, 10%. So of course, the more we develop our business in professional, the higher the accretive effect in terms of margins. So we had this effect in 2023. And again, it will happen in 2024 a bit more because professional is developing faster than consumer. Well, there's no rule. There's no rule. We make the decision every year, but it's in that -- in that order of magnitude.
Unidentified Analyst: I have 2 questions, please. You've shared some figures in terms of cash. Currently, it's possible to invest with the fairly interesting rates. In your acquisition policy, how do you factor in the rise in interest rates? Because you can easily -- one can easily have profitability of 3%, so that can raise question marks about potential acquisitions. Now CSR, you have a very virtuous policy. You sell a lot of appliances. So in innovation and replacement, have you introduced any policy to reclaim devices and appliances? And also, do you innovate to use less materials for the same use.
Unidentified Company Representative: I'll let you answer the first one on the technical aspect. We've never looked really at interest rates, when we do an acquisition. We don't embark upon an acquisition to say we're going to have -- we do this to either develop a business in a new category or in a new geographical area. Of course, we look at the cost of money at rate, but it's not a decisive factor as to whether we are going to do an acquisition or not. Yes. So of course, we invest our cash as much as possible. It does generate a yield. And actually, because of that, we managed to protect ourselves against the rise in interest rates. Now you, one should expect a slight rise in the financial income in 2024 because as we refinanced last year, we generated €650 million. So I suppose you will refinance this year. So I suppose there will be a rise by 200, 300 basis points. But part of this rise is indeed offset by our investments. As regards our refinancing strategy, we want to diversify further. Of course, we want to optimize the cost of each investment, but we are also working to diversify our investments. We try to spread our repayments and we try to have a fairly long average maturity which is what we did last year and we -- what we will be doing this year. As regards the recovery of products, I think it's a hallmark of our group. More than 90% of our electrical appliances are repairable every 3 months with the whole of the executive committee, I received a report on the number of products that have been [ carted ] about hundreds thousands every quarter. And I do a personal monitoring all this. So all our products are released with instructions to disassemble and reassemble. We have a warehouse in [Fauconi], which has inventory of spare parts for 15 years. And we have a network of repairers, the world over that can repair our products. They have the instructions for this assembly or reassembly. They have spare parts, which are available between 3 and 5 days. So this is very important for electrical appliances. And for cookware, we are a pioneer in collection and recycling operations for aluminum pans. Frying pans in our markets, and we want to develop further. We want to develop this further in the coming years.
Unidentified Analyst: Question from the floor. I'm sorry, I suppose I wasn't clear enough on my question. Let me ask again, if you want to change your appliance or if the appliance cannot be repaired. And if it's thrown away, people don't necessarily think of recycling them. So my question was, how do you encourage people whether professional or consumers, but how do you encourage them to be more virtuous. How do you encourage them to have their appliances collected?
Unidentified Company Representative: Right, the products you throw away are increasingly collected by organizations such as Ecosystem. Yes, Katy has sent me a technical sheet. So ecosystem is a professional organization that brings together all industrial companies and distributors. When the product is landfills or put in a dump site or thrown in the bin bay check what can be recovered in the product. This is something which is growing in Europe with collecting organizations. And of course, we are a major contributor to Ecosystem. And actually, they are quite fond of our products because they are easy to disassemble. Well, we are also a virtuous company. But it's not happening everywhere in the world yet. This is more of a European approach and Europe is more advanced. It's more of a pioneer than other regions in the world. I'm sorry, have I answered your question?
Unidentified Analyst: Question of Mike.
Unidentified Company Representative: Oh, yes, excuse me, I forgot that point. Innovation. When you put on the kettle, usually, well kettles, you cannot see what's inside. Now if you write on the kettle, the number of cups, you can actually encourage people to save water. People were not fully full -- fully fill up their kettle. They will only fill them to 2/3, for example. If you want to boil 10 centiliters of water, it will require twice as much as energy as for 5 centiliters. It's quite linear. It's basic physics. So there are many samples. For example, with ironing or for [indiscernible], we have energy-efficient modes. For example today, we can design a vacuum cleaner switch with 300 or 400 watts have vacuuming power, vacuuming qualities that are equivalent to what we had 10 or 15 years ago with the same with twice the power. So this is all thanks to research and development into steam irons, vacuum cleaners, water boiling because, of course, whenever you boil water, you use energy and calories. So we are constantly working on this.
Unidentified Analyst: I can see we have 2 questions online. Maybe we can switch to online questions for a few seconds. One question by [Ian Eric Smith]. Could you tell us, what was the -- the factoring level of receivables and payables?
Unidentified Company Representative: Well, I think it's €145 million of factoring in 2023, which is about €40 million below the 2022 level. So we have a strategy to reduce gradually factoring.
Unidentified Analyst: The second question, yes, that would for me. How do you envisage the future for flagging consumer activities such as home care or personal care?
Unidentified Company Representative: Well, for consumer. For example, for personal hold on -- have we answered the second question. I think you've deleted it. There was another -- can you please display the question that's just disappeared? Well, there's no category, just currently in the doldrums. There are just categories where we are less effective at the moment. So for example, we do hair dryers, hair straighteners, a bit of shaving and hair removal. These are categories where we haven't really delivered in the last 2 to 3 years, but we're not giving up in Spain, and I think in Romania, we have just launched a new hair brush. Hair Therapists, which has received raving reviews by influencers. We're not giving up. I suppose your question was a bit provocative, but we understand we, it's duly noted. We'll try to do better in terms of personal care. Now in terms of cooking appliances, we're not losing momentum. The fact is that there's a short-term trend in that there's a rise in air fryers worldwide. These are usually trends that last 18, 24, 36 months. Now we've jumped on the bandwagon. We are trying to catch up. We are #1 in drilling in Europe. We -- I think we are #1 for multi-cookers in Europe. So today, we depend more on the evolution of subfamilies of products. And if you see some figures are not as good as the others, it's probably linked with the development of product families. But actually, that's the beauty of covering several product families. You can dampen shocks or trend. But we are convinced that electrical cooking has a bright future ahead of itself. It's one of the main characteristics of the group, and we'll continue to work and develop our position in this across all geographical areas. Oh, the question that just disappeared, but there's another one now. A question about [indiscernible] dividend. Would you consider the payment of dividends in euros or in shares? I'm not aware that the group's policies to pay in shares going forward. The group's position at this point is to pay in cash. But then with cash, you can perfectly buy shares, can't you? Are there any other questions here in Paris? Well, I think we're done with online questions? Any questions here in Paris? Very well. It's close to 4. Thank you very much for your attention. Thank you for your continued support I just wanted to seize the -- this occasion to thank members of staff for our results. We are here the spokesperson of the 30,000 staff of the group. So thank you for them, thank you also to our colleagues, who are here who have helped us prepare this. And this is France. We have traditions let's have a drink together and a little snack. Thank you.